Operator: Good morning, and welcome to the IAC and Angi Third Quarter 2023 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's remarks, there will be an opportunity to ask questions. [Operator Instructions] Please also note that this event is being recorded today. I would now like to turn the conference over to Christopher Halpin, CFO and COO of IAC. Please go ahead.
Christopher Halpin: Thank you. Good morning, everyone. Christopher Halpin here, and welcome to the IAC and Angi Inc. Third Quarter Earnings Call. Joining me today is Joey Levin, CEO of IAC and CEO and Chairman of Angi Inc. Similar to last quarter, supplemental to our quarterly earnings releases, IAC has also published its quarterly shareholder letter, which is currently available on the Investor Relations section of IAC's website. We will not be reading the shareholder letter on this call. I will shortly turn the call over to Joey to make a few brief introductory remarks, and we'll then open it up to Q&A. Before we get to that, I'd like to remind you that during this presentation, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking views are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in IAC's and Angi Inc.'s third quarter earnings releases and our respective filings with the SEC. We'll also discuss certain non-GAAP measures, which, as a reminder, include adjusted EBITDA, which we'll refer to today as EBITDA for simplicity during the call. I'll also refer you to our earnings releases, the IAC shareholder letter, our public filings with the SEC and again, to the Investor Relations section of our respective websites for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Now I'll turn it over to Joey.
Joey Levin: Thank you, Chris. Good morning, everybody. Thanks for spending time with us this morning. It's nice to have both Dotdash Meredith and Angi growing again on the bottom line, and I think we have a lot of great work happening at the businesses that should be able to keep that profit momentum going. At Dotdash, the momentum really starts with audience, and those trends are good right now, even with Hollywood on strike, because we're investing a lot in our content and our platform. We have an attractive and growing audience, a unique high-performing ad product to sell, and industry leading e-commerce capabilities. If we have a decent ad market through the rest of the year and into next year, I think we're in great shape, and all the work we've done on the cost side should help more of those dollars flow through. At Angi, we're making our paying customers happier. The service professionals are retaining longer and spending more over their lifetime, which means they're making more homeowners happy. We believe that means we're delivering a better overall experience, which is how we earn our margin, and you can see that showing up in profitability in the business. Profitability isn't our only priority, or even really our biggest right now, and I don't think we've reached maximum profitability yet on our existing service professional and homeowner base, but one of the things we're learning is that optimized customer experience, the way we're looking at it today, which is our biggest priority, happens to line up well with profitability, because it means we're making more and better matches on our platform, which makes each transaction more valuable. When we're making more matches on our platform, we think we're lifting win rates for pros and we're lifting customer satisfaction for homeowners. So all the steps we're taking may not yet optimize the P&L, but they do prioritize optimization for customer experience, and we believe that's long-term how we're going to win this category. I know patience here isn't easy, but that's how we're thinking about it, and we're generating more cash flow in the meantime. We've got a lot to work with throughout IAC right now. MGM and Turo are, in my opinion, in excellent shape with exceptional leadership, and we're grateful to be a part of those businesses.  But we've got plenty to discuss today, so let's get to questions, operator.
Operator: We will now begin the question-and-answer session. [Operator Instructions] At this time, we will take our first question, which will come from Jason Helfstein with Oppenheimer. Please go ahead.
Q – Jason Helfstein: Thank you for taking the question. Good morning, everybody. So kind of one two-part question. So can you help us understand with respect to kind of the guide for the full year, in some cases being to the low end of the prior range, how much of that is revenue-related versus margin-related? So just if you can give us some color as far as we are seeing, particularly Meredith Dotdash and Angi with respect to the revenue outlook. And then secondly, particularly with Angi, I would imagine that the business is suffering from, given where rates are and the pressure on homeowners and borrowing costs, et cetera, as well as lack of housing transaction volume. If we get into an environment where rates come down in the back half of next year, housing volume comes up, et cetera, maybe how do you think about that impacting Angi and on the discretionary side? Thanks.
Joey Levin: Sure. Thanks, Jason. Maybe I'll let Chris do the guidance question. But overall, on Angi macro, I still think that what's happening to the business today is much more our hand than it is the market happening to us. And that's the proactive actions we've taken, and we've talked about a lot on improving the quality of our customer experience, our homeowner experience, our pro experience. And we're continuing to make improvements there. And that does take a hit out of revenue. I think from our estimate was in the beginning of the year, the market was probably down, overall market, not us, probably down to 5% to 10% range. And I think now it's probably our estimates are closer to flat to maybe up a touch. But the changes that we're making obviously have taken us down.  The -- active real estate market or a more active housing market, I think is generally good for the demand side of our business. And when homes transact about $15,000, we think in work that happens per home transaction. So that creates a lot of movement in the industry. The flip side to that is that pros are busier. And so pros may need less business in those times. And so we've talked about that kind of natural hedging our business where if pros are doing -- if pros are doing less work, they're more eager to be on our platform. And the flip side is homeowner demand goes up in those scenarios. We are not anticipating any meaningful movement in the market up or down. We think we're reasonably well positioned to handle either one of those scenarios, but we're not anticipating either one of those up or down. And we think that we have room to expand profitability in the business kind of regardless in that scenario. But on the revenue side, it is proactive actions that we are taking that I think is most guiding what's happening on revenue in the business.
Christopher Halpin: Yeah. Just a couple of elements on that. We did guide to the low end of our EBITDA range of 100 to 130 last quarter. We feel we've just heightened where we are there. As Joey said, it's overwhelmingly driven by revenue softness from the proactive actions taken to improve lead quality. Some of those had a larger impact in the short-term than were initially anticipated. Probably the bigger factor also is a few of the channels that were reduced have ramped up more slowly than we anticipated, but we're fully confident. They will come back and are seeing that happen. So, it is a -- for Angie, it's the relatively short term impacts of the actions taken, nothing on margin degradation relative to your question. For Dotdash Meredith, it's due to a confluence of factors, predominantly macro. We guided in the letter and in our call last quarter for some softness in Q4. As we began to experience -- some softness in Q3 traffic in our entertainment sites, we really started to see that in August, driven by the strike and just the lack of activity in Hollywood. That pulled down Q3 results a bit. The bigger story right now is we anticipated and had been pretty clear with the market that we expected a much more solid Q4 environment for advertising this year than last year. When really last holiday season, the market totally froze up. We'd seen steadily strengthening premium demand and programmatic pricing in Q3, but similar to a number of other publishers and platforms, that reversed for a bit in October, clearly driven by war, macro concerns, higher rates, et cetera. So, we lost some momentum. Trends have been better so far in November, but it's still an uncertain environment. So, we're expecting a holiday season that's only mildly better from a macro perspective on advertising. We talked in the letter and have talked about 80% incremental margins. That drives growth year-over-year in EBITDA. But on the flip side, versus a plan, if advertising revenue is lower, that goes to the bottom-line. So, -- and then performance marketing continues to be strong, and we expect that to continue apace, I guess, absent a major consumer slowdown. But we feel good about where we are. Things have been better so far in November relative to what was a broader slowdown in October, and we're going to continue to monitor it.
Jason Helfstein: Thank you.
Christopher Halpin: Thanks Jason. Operator, next question.
Operator: Our next question will come from Brent Thill with Jefferies. Please go ahead.
Brent Thill: Good morning. You talked about Angie in the buyback utilizing the 1.4 million shares left. You didn't buy any IC stock in Q3. Can you just talk about the rationale behind repurchasing Angie versus IC?
Christopher Halpin: Sure. Just one correction, Brent, but it's 14 million shares in the Angie authorization. The purchases at Angie, I think, are relatively straightforward. I think it will be -- there's not a ton of volume there, but one of the things we want to do is offset dilution or potential dilution there. And so buying back up to the authorization helps accomplish that. And of course, if we're buying, we view it as attractive. As it relates to IIC, look, we bought $165 million worth of IIC so far this year. It's something that we have considered, we always consider. I think we took a pause this quarter when we saw the reaction to Angi last quarter, which I think even surprised us in terms of its magnitude, and we wanted to look and see where things settle out, and that's something that we will continue to evaluate.
Brent Thill: And quickly on care and the growth accelerated from 2% to 4%, what do you think it's going to take to get back to double-digit?
Christopher Halpin: Yes. So the slowdown there has been driven by predominantly the consumer side. We had a solid quarter, especially in enterprise there in the third quarter. We're excited about Brad Wilson, the CEO, and the management team he's brought in. It's really going to be around reigniting consumer growth. That's both on product and conversion challenges that have happened, probably a little bit of macro slowdown potentially, but we still really believe in the market opportunity and the position of care and believe it should be a consistent double-digit grower. And then we've got opportunities on marketing that we've talked about consistently for the last few quarters. So they are still working on repositioning the platform and getting the marketing going. We think we'll see steady improvement across 2024, and it's going to be consumer driven. Enterprise is solid. You can see that corporate demand for backup care broadly for their employees is robust, albeit they're going to be more price sensitive or not be willing to spend as aggressively as they might have during the pandemic, but you're going to add accounts and continue to expand that market. So, it's really basic blocking and tackling. We're excited about what Brad and team are driving, and we're looking forward to 2024.
Brent Thill: Thank you.
Christopher Halpin: Thanks, Brent. Operator, next question.
Operator: Our next question will come from John Blackledge with TD Cowen. Please go ahead.
John Blackledge: Great. Thanks. On DDM Digital, you provided new engagement metrics, including core sessions, which is the bulk of engagement on your key properties. Could you talk about the third quarter growth in core sessions and kind of what you saw in October and maybe how that plays into kind of revenue trends in 4Q and going forward? Thank you.
Joey Levin: I'll start, which is, again, we mentioned this a lot, but core is where we're putting the investment and where we think the brands are that have a perpetual value and strong brand strength. So seeing those grow is nice, and seeing those accelerate growth is even nicer. That trend, we talked about what's happening in Q3 and continued to improve in October, and that includes entertainment, so that's notwithstanding that there's not a lot of news in entertainment right now. So that's an exciting place to be.
Christopher Halpin: Yeah, just to add for context, this traffic we thought is good information for investors to highlight the drivers behind the business. One thing we flagged, as Joey said, core, the 19 key brands we're investing actively behind. The total sessions, is the whole portfolio, and the difference, which is the spread of non-core is what drove the decline in total sessions versus a growth in core. It really comprises weaker long-tail sites that were part of Dash or Meredith, where we're not prioritizing investment, as well as third-party sites that Meredith historically did the advertising sales for that we acquired in the deal. So, you know, we expect those non-core sites to continue to a trick to probably a de minimis level so that core and total will be the same at some point. For a sense of those trends, the core properties represented 67% of total sessions in third quarter of 2022 and are just under 80% of total sessions this past quarter, and that will only continue. So, that is -- we expect those core sites to continue their growth. Hope to have entertainment, as Joey said, be a tailwind, and it's a key story of the business.
John Blackledge: Great, thanks. If I could ask one more question on DDM Digital. You guys called out the performance marketing revenue accelerated to 22% growth year-over-year in 3Q. Just kind of what drove that acceleration, any color and verticals that were strong and that were drivers of that part of the business?
Joey Levin: Yeah, it's really the continued execution by Meredith on a core thesis of acquiring Meredith, which was Meredith has tremendous brands, traffic, and content, but definitely under punched its weight in modern e-commerce integrations to that content. And we talked extensively through the journey of integration last year that some of the delays pushed out those e-commerce integrations and really bringing back Meredith's expertise to the properties, but we've had them going this year, and you can see the steady growth from, flat to 12%, to up 22% this past quarter in overall performance marketing. Across categories, it is overwhelmingly goods commerce, consumers buying products that is driving that. We have relationships with all the big retailers. We think we're the biggest partner of many of those, and we think we move from strength to strength with those folks of where we're integrating and driving, and we expect that to be second derivative positive for a while, including going into this holiday season where we're excited about the integrations there, and performance marketing will be, a key tailwind to monetization per session.
Christopher Halpin: And the only thing I'd add to that is performance marketing, especially in this environment, is something where advertisers want to be and want to shift spend, and we have great inventory and great tools to be able to move that, and so I think we're capturing that overall trend.
John Blackledge: Thank you.
Joey Levin: Thank you, John. Operator, next question.
Operator: Our next question will come from Justin Patterson with KeyBanc. Please go ahead.
Justin Patterson: Great. Thank you very much. Good morning. I was hoping you could elaborate on just the work ahead to improve both the service provider experience and the homeowner's experience. You called that out in the letter as one area where there's still a lot of work to chop. Thank you.
Joey Levin: Yeah. So service provider experience is -- I just want to highlight again some of the work that's been done here. It is -- we talked about retention a lot. We also, I think, last quarter talked about it, but we continue to raise meaningful improvements in bad debt, meaningful improvement in the lifetime value of the service professionals coming onto our platform. And just anecdotally, the interactions we're having with service professionals have in tone improved meaningfully. And they see that because I presume, and we can measure that to some extent and they can measure this better than us, that they're getting a better ROI on our platform. This means we've improved pricing and which means we've improved quality and when those things are happening, pros are happier. And as I said multiple times, pros, when they're happier and more engaged, make homeowners happier and more engaged. The key fundamental element of what a homeowner comes to our platform for is to match with a service professional and the more -- whether they match with a service professional at all is a huge cliff. Then the more service professionals they match with up to a point is very important. That increases their odds of connecting with a service professional and then that increases their odds of hiring a service professional. We're seeing each of those levels of the funnel improve right now. And we still have a lot of tools in there that we haven't launched yet. We've improved messaging, for example, and improved messaging on web and mobile and brought those things to parity, but we have not yet really fundamentally driven the transaction more heavily towards messaging. Still our interaction between homeowners and pros relies heavily on the telephone. That's good. That's helpful. Pros like to receive phone calls, but homeowners are less eager to receive phone calls than they have been historically. And so getting people to message and getting that back and forth started on our platform, I think, is an area where we still have room to improve. Also, we're looking at acquisition economics and making sure that we're acquiring both homeowners and pros that are more likely to match on our platform. And so we're taking a look at all of our marketing channels, which we've been doing for a while. Some stuff that was unprofitable was easy to cut, and we've talked a lot about that. But we're now looking at channels and saying, how can we demand more out of our existing channels? Not just demand more profit out of our existing channels, but demand better customer experience out of our existing channels. And we think we still have work to do there, and we think that will lead to, again, both more profitability and better interactions, better experiences between homeowners and service professionals. And I'll just add one more thing on that, which is people have asked me the question, well, are you cutting marketing here in ways that's kind of overstating the profit or where you're borrowing from the future to cut marketing? The areas where we're generally cutting marketing are performance channels. And so performance channels are near-term performance channels. And brand spend is actually up year-over-year, and it'll be up again year-over-year in Q4. So that part of the business is healthy, but we're looking at all the channels and deciding what we want to do and demanding more, again, and customer experience out of each of them so that when we bring a homeowner to our platform and when we bring a pro to our platform, the interactions between those two are much more valuable for each other and for our platform.
Justin Patterson: Thank you.
Joey Levin: Thank you, Justin. Operator, next question?
Operator: Our next question will come from Ross Sandler with Barclays. Please go ahead.
Ross Sandler: Hey, guys. Going back to Dotdash Meredith, so you talked about the strength and performance, but the premium side of the business down 12, I think, was a tad worse than the industry, although improving. So how do you feel about that? And then looking forward, how do we think about the cadence of digital ad growth at DDM in the context of the new session growth rates? Are we likely to see revenue run ahead or behind session growth in 2024, and is that like a function of ad load or improving EPM or some combo of those? How do we think about that? Thanks a lot.
Joey Levin: Okay. Thanks, Ross. You know, for when you compare to the market and think about overall digital advertising growth at Dotdash, I would blend the advertising and performance marketing lines. The third leg of Digital is licensing, which is a little bit of a different beast. But we think of those on a blended basis when looking at comparables. That was down about 3.5% in the third quarter, which when we look at publishing peers, we actually felt like we were holding serve versus what we saw there. We'd like it to be better. We've got a little bit of demonetization going on versus third quarter of 2022, when we still had probably over ad load in some of the Meredith properties and some suboptimal traffic. So a little bit is a comp issue, but overall, we view it as down 3.5%, and we expect those numbers to be improved in Q4, even with a soft ad market in October. So, you know, in our mind, we feel good about the progress we're making. There are small things that were headwinds, like, you know, the impact of the labor strike from Hollywood and in our entertainment categories. But we're head down and looking to get those ad numbers to flat and to growth. That talks to, you know, 2024. We're not providing guidance yet, but when you look at the sessions, which you highlight, core should continue to grow even better. The actor strike got behind us, and there was more entertainment content to talk about. But core is going to be, you know, total and core will be second derivative positive in Q4. Core should grow solidly, and we expect that to continue into next year. So traffic will be a tailwind. A monetization, you know, premium sales are soft right now. The programmatic CPMs, even in this Q4, should be up the over year, and we think we're outperforming the market on open market CPMs. So hopefully, you know, advertising revenue, digital advertising revenue is flattish, and then performance marketing is a source of strong growth in Q4 and continuing into next year. So we are optimistic on 2024 to drive Digital – overall, Digital revenue growth, and then given what we've said about incremental margins, that should drive continued improvement in profitability. Okay, thanks, Ross. Operator, next question.
Operator: Our next question will come from Brian Fitzgerald with Wells Fargo. Please go ahead.
Brian Fitzgerald: Thanks. A couple follow-ups on DDM, on Decipher. It sounds like there's been an encouraging response as cookie deprecation kicks off in '24. Where do you think penetration of that product could go for your general interest sites, and how are you thinking about potential revenue uplift there for both general interest and total DDM digital? And then, Joe, any further thoughts on AI and defending copyrighted evergreen content from DDM? Thanks.
Joey Levin: Sure. On Decipher, I think you hit the main point, Brian which is -- intent is a very powerful indicator for ad performance, and I think much more powerful, and based on our testing, much more powerful than cookies. And the good news is that cookies are being deprecated, and so the market I think is sort of forced in that direction regardless. Our intent data is, we think, pretty good and also pretty unique. You know, the best-performing ad platform in the world has exceptional intent, and we sort of follow in the wake of that with what we are able to gather in our platform with intent, and we expect that to really help overall Dotdash Meredith over the course of 2024. We're seeing it in advertiser interest just in terms of responding to RFPs, but we're also seeing it in advertiser spend in terms of making it a part of their campaigns. And again, we expect that to continue, especially as we get better at mapping it broader across the Internet, broader across partners, and as it gets easier for partners or advertisers to buy that product from us, which is all stuff that we have underway. In terms of AI, look, we are going to defend our content. We've been clear about that, and I think that there's one sort of small and relatively straightforward question that needs to be answered that hopefully, if it's answered in the way we expect it will, we'll get everybody to the table to get to reasonable conclusions, which is do these platforms have the right to take everybody's content and transform it and use it for the purpose that they're using it? We think the existing copyright law is pretty clear that they do not have the right to do that, but it will probably take a court to reach that determination, and once that happens, everybody can get together and figure out a solution that works for everybody in the ecosystem and that's our plan. There's a number of those suits underway right now, and we expect that there will be a number more of those over time.
Brian Fitzgerald: Thanks, Joey. Appreciate it.
Joey Levin: Thank you. Operator, next question.
Operator: Our next question will come from Ygal Arounian with Citigroup. Please go ahead.
Ygal Arounian: Hey, good morning, guys. Two questions. First on Dotdash and not to beat a dead horse here on the macro, but we've heard over the course of earnings a lot more incremental concern on the consumer, especially in discretionary, and I know the e-commerce advertising and performance is really important. Do you guys have any insight there specifically that's maybe different? I know you talked about a softer October, but it still sounds relatively hopeful around holiday. Just any insight on that, and then on Angi, you're selling the roofing business, you're paring down on services. Is that part of the business now where you want it to be, or is there still more with the chop there as well? Thanks.
Joey Levin : I'll do the second one first. The services business, look, every business we want to always be better, but the services business is where we want it to be right now, meaning there are not other things that we are paring out of the services business. You can still see in the comp things down year-over-year, but that was when we were in the higher consideration managed projects business, and there is this final step in roofing. But where we are right now in services is a place from which we think we can build. We think it's very healthy. We know it's a very good customer experience, our best customer experience, and we're excited to expand it. There is the reality in services, which services participates in service requests sort of downstream in Angi, which means that the services business revenue growth will be somewhat tied to what happens on demand overall and service requests overall at Angi. But in terms of the business that we're doing there and want to be doing there, I think that's all in a healthy place and where we want it to be. And we're happy to close the roofing chapter and move on from there. I've already forgotten the first question.
Christopher Halpin : Yes, and just one technical point related to the roofing transaction. We're thrilled to have that business in the hands of a private third-party who will operate it well and it's returned to being a customer. We flagged this in the footnote on Page 2 of the earnings release. But under GAAP, roofing will be a discontinued operation starting next quarter for Angi, but given materiality, will not be for IAC. So in order to keep the Angi financials consistent between what Angi will put out standalone and what is rolled up in IAC, we will move roofing on a historical basis into emerging another. On a go-forward basis, there will be no impact because we've sold the business, but just on a historical basis starting next quarter, roofing will be within emerging another and then will be a discontinued ops for Angie. I'm sure we'll continue to work through that to explain that with investors, but just one thing we wanted to flag. Your first question on Dotdash Meredith and what we're seeing macro, we are vigilant on the point. You can't have interest rates on consumers go from zero to five and higher percent without some impact. There are elements that are just distinct to DDM that we expect to grow and take share just because we didn't have these integrations a year ago and the Meredith assets are such a big platform. But relative to expectations and broader trends, we're looking. What is hard is that the cadence of e-commerce and holiday shopping keeps changing year to year. If you go back to 21, things were pulled forward because everyone was worried about the supply chain issues and not being able to get their child or loved one the right holiday present because they would run out. So things got moved up to November. Last year, consumers waited because they weren't worried about supply chains, so things moved into much more packed up in Thanksgiving and even into December. We flagged that last year. This year, we've seen discussion among competitors and retailers about consumers being more deal oriented and waiting. There was the Amazon Prime Deals Day, which was strong. That probably pulled some demand forward. And then we'll see how the cadence works of consumer spending and also how promotional e-commerce players are. But I'd say we're cautious, but not seeing any specific signs of a slowdown. But we're managing our business, expecting anything could happen in this environment. Thank you. Operator, next question.
Operator: Our next question will come from Tom Champion with Piper Sandler. Please go ahead.
Tom Champion: Hey, good morning, guys. Joey, can you just talk about the evolution of the business model at Angie? It was discussed a little bit in the note, but the movement away from lead gen to a marketplace, what does that mean? Can you expand on it? And then maybe for Chris, just to clarify the comment around the Angie buyback, that's the existing buyback, right? So the point that you're driving home is that you want to lean into it. It's a statement around timing. Any comments would be helpful. Thanks.
Joey Levin: Sure. Lead gen to marketplace is very important for Angie. It's a big sort of rallying cry internally. What that means is going from acquiring a customer or a service request and moving that over to the service professional as quickly as possible and moving on. That is more akin to lead generation. There's nothing wrong with lead generation. It's just hard to build brand and loyalty and drive what is another important feature for us, which is customers for life on Angie with that mindset. And so what's changing is trying to drive more interactions on the platform and making those interactions on the platform richer and building signs on the platform of which customers on both sides, homeowners and service professionals, do the best job and interact with each other most productively and rewarding those behaviors. That's how I think a marketplace builds and grows upon itself. And I think in the past, we were a little too much lead generation, which was getting that first transaction and moving on. And now it's more get those transactions, those interactions, and those systems of reward happening on our platform. Just one more example that I referenced earlier, but that's the difference between just sending the homeowner's phone number to a service professional and having the service professional call them to driving messaging and helping messaging back and forth on the platform and allowing them to contact each other and less of the one-way transactions or one-way communications. There's many, many things in the roadmap and things that we've launched along those lines to improve that experience. And we're seeing the benefit of that in terms of transactions, monetized transactions per service request. But that's the theme of what we're trying to accomplish.
Christopher Halpin: And then, Tom, thanks for the question. On the buyback, yeah, our message was that we are going to be buying, obviously, subject to price and liquidity levels, but that we are putting a plan in just in relative to anticipating that question from investors.
Tom Champion: Thanks a lot, guys.
Christopher Halpin: Thank you. Operator, one last question.
Operator: Our last question here will be from Kunal Madhugar with UBS. Please go ahead.
Kunal Madhukar: Thank you for taking my questions and squeezing me in. A couple, if I could, one on Angi and one on Dotdash. So on the Angi side, what I'm seeing is, based on our map is ads and leads revenue per monetized transaction that declined about 11% on a year-over-year to about $40. Marketing costs declined only, more modestly at like 8% to about 27.5%. So can you talk about how the LTV-to-CAC is changing within this dynamic of marketing costs not declining as much as the revenue? And then on the Dotdash side, the whole concept of premium advertising was, you going out and talking to advertisers on a one-on-one basis, and selling them ads, high-intent ads or high-intent leads. How does the Amazon, the recent agreement with Amazon, how does that change that view, or maybe it doesn't? Thank you.
Joey Levin: You broke up for a second, Kunal, on the last question. I think I got it. You're talking about the announcement of Amazon around D/Cipher, and is that what you're referring to?
Kunal Madhukar: On the Publisher Cloud, the Amazon DSP that they just announced at the unBoxed 2023 conference.
Joey Levin: Yeah. So D/Cipher, Dotdash Meredith being a part of that, I think I can get both those questions, but what that means is it's essentially easier for an advertiser in Amazon's retail media network to access our inventory and to access our inventory on any basis. But that, we think, is a huge win for Dotdash Meredith, a huge validation of the work we're doing on D/Cipher and a long-term benefit to DDM, if we can capture those dollars now that the sort of infrastructure and endorsement is in place there. I hope that answers the question. But if not, we can come back to it, and Christy, can add more to that. But on Angi, the revenue for monetized transaction is -- rate is down right now. I think that we, in some areas, have not optimized price, meaning we have pushed too far on price. And we've come back on price in certain areas. And so there is a question of rate, but there's also transactions per service request. And so one of the things that's happening as we pare back marketing and demand more out of existing channels, both in terms of return and in terms of quality, we get more accepts per service request. And same is true as we're getting service professionals that are more engaged, they're engaging with more service requests. And therefore both of those things lead to driving more accepts per service request. And so revenue per SR can improve even if each individual transaction is worth less. I hope that answers the question.
Joey Levin: Sure.
Kunal Madhukar: Okay. Go ahead.
Joey Levin: No, go ahead.
Kunal Madhukar: No, just wanted to follow it up in terms of the marketing cost. So the marketing cost did not decline as much. So how does that impact the LTV2CAT [Ph] dynamic within your plans?
Christopher Halpin: Yeah. LTV2CAT is heading in the right direction, and that is the transactions that we are retaining are more valuable. There are some short-term things that are in there, which Chris and I referenced earlier, which is the channel that we talked about in Q2, where we made some meaningful adjustments there in the name of quality, and that's taking a longer time to ramp back up. And so that has some short-term impact in the economics. But generally, LTV2CAT is heading in the right direction.
Joey Levin: Yeah, and we also had some brand, specifically TV ramp up year-over-year in that number you're calculating. So I think we feel good about the trends and would just say the metrics that you're backing into wouldn't be given the full picture. And then, on the Dotdash question, did we answer where you were coming from?
Kunal Madhukar: Yeah. Thank you.
Joey Levin: Perfect. And just to add one more to that, just to make it clear, you can see monetized transactions per SR going up. We talked about that in the letter. That's been a trend. And that is a counter to revenue for monetized transactions.
Christopher Halpin: Right.
Joey Levin: Right. Well, thank you, everyone. Thank you, Operator. Thank you, everyone, for your questions. And have a great morning.
Christopher Halpin: Thank you all. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.